Operator: Good day, ladies and gentlemen and welcome to the Ternium Fourth Quarter 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and the instructions will follow at that time. (Operator Instructions) I would now like to introduce your host for today’s conference Sebastián Marti. Sir you may begin.
Sebastián Marti: Good morning and thank you for joining us today. My name is Sebastián Marti and I am Ternium’s Director of Investor Relations. Ternium issued a press release yesterday detailing its results for the fourth quarter and full year 2013. This call is complementary to that presentation. Joining me today is Ternium’s CFO, Mr. Pablo Brizzio, who will discuss our performance. At the conclusion of our prepared remarks, we will open up the call to your questions. Before we begin, and we’d like to remind you that this conference call contains forward-looking information and that actual results may vary from those expressed or implied. Factors that could affect results are contained in our filings with the Securities and Exchange Commission and in our press release issued yesterday. With that, I’ll turn the call over to Mr. Brizzio.
Pablo Brizzio: Thanks, Sebastián and good morning to everyone. Let me review the fourth quarter result, then I will make some comments about our performance during the year 2013 and finally I would touch other issues we disclosed in yesterday’s press release. During the fourth quarter of 2013 EBITDA was $390 million 9% higher than EBITDA in the third quarter 2013 as result of higher EBITDA per ton partially offset by seasonally lower steel shipment. Shipments have sufficiently increased, reaching 2.2 million tones in the quarter 3% lower than the third quarter. In Mexico, sale to industrial customer remain at good level while our construction related shipments although showing some mild recovery continues to be relatively weak. We have been working hard on increasing our sales to industrial customers in Mexico under result of this April should materialize with higher shipments in the flowing quarters. In Argentina, steel demand remains at healthy levels in the fourth quarter. We don’t expect to see a relevant change into volume sold in the first quarter of the year, apart from the usual seasonality of summer time in the southern hemisphere. Steel revenue per ton sequentially increased in the fourth quarter with higher prices in Mexico, on other markets and steady process in the southern region. We anticipate a sequential decrease in net revenue per ton in the first quarter 2014, the prices in our main markets are showing some decreases, which should be partially offset by the lack of effect of higher industrial customer base contract price in Mexico. Mining revenue per ton sequentially increased in the fourth quarter mainly as a result of price adjustment of phase of iron ore to Ternium Mexico. Ternium Mexico buy most of the iron ore sold by Argentina our own mining activity and our share of Peña Colorada, so close to or more than 90% of the mining segment add in our phase are internal transfer. Big adjustment then has no effect on Ternium consolidated EBITDA as it is eliminated; we are consolidated Ternium mining and steel segment. Consolidate EBITDA per ton of steel was $175 in the fourth quarter compare to $156 in the third quarter and the EBITDA margin reached 18%. The higher revenue per ton in the fourth quarter was coupled with slightly production in operating cost of ton that resulted mainly from a lower cost of purchase plus and raw materials. Net income in the fourth quarter was $171 million or gain of $0.64 per EBITDA, the results compared with $136 million gain in third quarter 2013 or $0.50 per EBITDA. Net cash for other operational activities in the fourth quarter were $247 million; in addition capital expenditure were $158 million lower than the $218 million with record in the third quarter of last year. CapEx continues to decline as we are in the final stages at over latest CapEx cycle. Let me now make a review of the year, EBITDA in 2013 was $1.5 billion is the higher than the EBITDA generated in 2012. this is equaling to consolidated EBITDA for ton of steel of $165 an improvement compare to $147 in 2012 and inline in the recent year orders. EBITDA margin in 2013 reached 17% compared with 15% in 2012. shipments were slightly higher in the year reaching an yearly other record of almost 9 million tons this compare with 1 – with 8.8 million in each of the previous two years with expect an increase of shipments in 2014 driven by the commissioning of our new facilities in Mexico and the trend of our Mexico industrial customer base. Finally net income in 2012 was $593 million this equals to earning EBITDA of $2.32. we have a cash flow from operations of $1.1 billion in 2013, this cash generation will finance the $883 million capital level down from $1 billion in 2012 and ended up with a free cash flow of $209 million, with which we paid a dividend of $128 million to Ternium shareholder and we reduced net debt that went from $1.7 billion at the end of 2012 to $1.5 billion at the end of the year of 2013, which is equivalent to one time net debt to last 12 months of EPS. Ternium Board of directors proposed another dividend of $0.75 per ADS, equivalent to $150 million. Thus as I told at the shareholders meeting, will be paid on May 16. This represents a $2.5 billion deals or a 32% payout ratio. Let me now comment about the power plant we are going with Mexico together with Tenaris and Tecpetrol, two companies that are also part of the Techgen group, the project consists the construction operation of natural gas-fired combined cycle electric power plant in the Pesquería area of the State of Nuevo León near to our new facilities. The power plant will have a capacity of between 800 megawatt and 900 megawatt and expected to be operational in the fourth quarter of 2016, the total investment required for the project is a little over of $1 billion of which we are expecting to finance 70%, which we have really made a initial investment in the project company, which is a called the Techgen and is owned 58% by Ternium 30% by the 12% and 22% by Tenaris. Tenaris and Ternium are going with a main off-takers of the electricity. So they have agreed to enter into power supply and transportation agreement with Techgen, a percent of which Ternium and Tenaris we contract 78% and 22% respectively of Tecghen power capacity. Okay these where the main issues I wanted to comment on you. Please let’s move to the Q&A session.
Operator: Thank you. (Operator Instructions) Our first question comes from Rodolfo De Angele of JPMorgan. Your line is now opened.
Rodolfo De Angele – JPMorgan: Hi, I was wondering if you could comment a little bit on the performance of the mining divisions in more detail, I just wanted to know if you expect that level for you to go forward and what really drove such a huge increase? Thank you.
Pablo Brizzio: Okay, hi Rodolfo how are you, the mining activity of Ternium is as we have commented in past, we basically work in a full capacity, we are hitting around 4.2 million tons to 4.3 million tons really mainly to our own operations in Mexico. Remember that we have 100% of the mine activities, which is called Las Encinas, 50% of the mining operation which is called Peña Colorada that we share with Mittal in Mexico. So we are expected to keep working at full capacity and as always we are trying to improve utmost the output of our own facilities and [indiscernible], as I mentioned in my initial comments is that around 90% of the iron ore extracted from our mines are basically for internal use in our operations in Mexico.
Rodolfo De Angele – JPMorgan: Okay, thank you very much.
Operator: Thank you. Our next question comes from Leonardo Correa of HSBC. Your line is now opened.
Leonardo Correa – HSBC: Hi, gentlemen, good morning and everyone. My first question is on Argentina, just I wanted to get your latest thoughts on the depreciation of the peso and how demand could potentially be impacted also by some of the downsides risk of Brazil, we know that Brazil and Argentina are big commercial partners. So just wanted to get your views on the demand environment in Argentina especially with a potential slowdown in Brazil. And also the pricing scenario in Argentina, if we can see and the pass through or full pass through [indiscernible] share prices that would be the first one. The second question is on the incremental volumes, I mean how is the volumes outlook for 2014, and also if we can talk a little bit also Pablo about the ramp up of the new projects and the contribution on these upward kind of these new capacity and these new projects. Thank you, those are the two questions.
Pablo Brizzio: Okay thanks Leonardo, for the question. Let me start with the usual, in Argentina, you are at totally right. Argentina as a country is impacted by different things, the most important ones are of course its own economy in the country and the second one which is very important is the situation in Brazil, if the situation in Brazil is good of course that is very good for Argentina, but if you have a slowdown in Brazil, this will impact the situation in Argentina. mainly, the industrial sector in Argentina, which is starting quite a lot to ratio. this year, what we have is different issues that are affecting directly, the situation in Argentina, do you mention one, which is the evaluation. And we are also having an expectation of not a very significant role in Brazil, which we have an impact on Argentina. Putting well things together is, you can imagine or you can think that there will be some reduction in the consumption in Argentina in the following quarter. We have not yet seen a reduction in the demand of our product in the very short run, that’s why we mentioned that during the first quarter, we are still seeing the level of demand, also take it into consideration the first quarter in Argentina is efficiently lowest of the year. So we are in relationship to the pricing scenario, prices in Argentina, we always comment it related to delivery of the prices in the region. they feel that is important that Argentina is mainly coming from Brazil. so we are always having price that is related through these markets or international markets. The prices, as also we commented in the initial marks in the core region, not only in Argentina, but in the Americas if you want, have started through extract its more reaction of prices and of course, it is also reflected in Argentina. we were able to maintain or sustain the way we price in Argentina. so the impact of the evaluation we are affecting to cover these impacts and also there are some other impacts on the evaluation that you have to take into consideration. The Ternium related to basically nominated costs with these many labor authorities that are brought and suffered in the [indiscernible] transaction cost. So all in all, we are not expecting to see significant entries in the level of treatment for the local market, there is a ramp from we expected saying also during this first quarter. The level of profitability of the company. So that’s probably a perspective for [indiscernible] very difficult to tell right now, but if you took to here that you mentioned as you take in Argentina and that will probably you can expect some reaction in original demand of products in the country. So, this is in relationship into Argentina. Let me move now to your congressional report relationship to volume percent of the factory [ph]. We probably in the same call last year we’ve mentioned that we’re expected to have big volume because we have a volume increase sorry because we have the much new facilities to increase our volume from. So reaching almost 9 million tons during this year was quite good for us. We are looking as you know after the commissioning of the new facilities in Mexico, the cold-rolling mill, on Tenigal which is relevant [indiscernible] every year of the ramp up period to have a net increase in volume of 1 million tons. Of course we are not expecting to have this [indiscernible] we see every quarter we need to work through ramp up period. So, probably you can say that at least half of that should be gain during this year, but as always we work very hard during this ramp up period, not to have all the certifications needed in order to produce a product that we are making to produce in this line. Let me tell you that, in fact we are doing quite well. In the [indiscernible] thing we are quite advanced so and we are optimistic in going through that in the expected timeframe that we have from the beginning of this [indiscernible].
Leonardo Correa – HSBC: Yes, thank you Pablo for the summation. Just can I ask an additional pack to my question? Just on the profitability side from this new capacity right, either probably that are intend with, but on the other hand depending on the fracture between spread and prices you can see a gain on your overall EBITDA. So, just wanted to gather a sense of EBITDA margin going forward and should we think of something around 17%, 18% or probably close to the timing. So, just wanted to get a sense and how this probably can contribute. They clearly do improve product mix; just I wanted to get a sense on how the company is looking at the profitability side?
Pablo Brizzio: Okay. You are right. This task different ways to look at it. Of course we will allot to the product mix of a company, which better than the product mix of the company because we have very sophisticated type of product. But on the other hand, you are also right that these facilities are not integrate. So, the coming from the lower side of the merchant of the whole production of a company. In the case as we otherwise sell is that even with these situation, we are expect deliver a profitability, but that we have in the company, which is between 15% to 19% will be a margin, even with added non-integrated products, as we mentioned we have a very sophisticated products sold, this is our expectation, of course at the very end we saw these not only return on these, but also return on the pricing scenario as you can find moving from here on, but this is the expectations that we would have on these new facilities.
Leonardo Correa – HSBC: Thank you very much.
Pablo Brizzio: You’re welcome.
Operator: Thank you, our next question comes from Ivano Westin of Credit Suisse. Your line is still open.
Ivano Westin – Credit Suisse SA CTVM: Hi, Pablo and Sebastián thanks for the question, first one is on price in North America, we see at the moment a high spread between price in the region and International steel price and given the strong correlation of price in Mexico to the U.S. I just wonder what is your forecast in terms of price movements throughout the year and if expect any change in the current spread? The second point would be, on your overall strategy in terms of what to do with your cash generation, you had a really good free cash flow generation in 2013, you are going to move ahead with your expansion. So clearly you are going to have excessive cash in the forthcoming period. So you had mentioned that you are going to move ahead with a power plant projects with Tecpetrol and Tenaris, so in addition to that can we expect additional expansion in Brownfield or Greenfield or M&A move or going to return cash to shareholders, so what should we do with additional cash? Thank you so much.
Pablo Brizzio: Okay, good Ivano how are you? Let me comment first on the pricing scenario, you are right that we are seeing at the moment – I’m very excited to see during these months, some price increases in the North American market; of course leading by the U.S. this is time for immediately to the Mexican market. So we are expecting as we mentioned to see some decreasing in pricing for our whole market related to the decrease that we are seeing these days in the U.S. market. Up to now the movement hasn’t been that significant, and as usual in our sector it’s very difficult to tell which would be a pricing scenario moving to year-end. So we still believe that prices won’t move widely in the U.S. market, of course there will be some movement of pricing and the movement that we are seeing at the moment is on the downside. With respect to cash flow, yes it’s important to comment on this. We have generated during this year 2013, the one that here we are commenting, more than $1 million cash flow generated, now that we finance the CapEx, the CapEx which was a $155 million, we pay dividend and reduce that at the very end. Enter into next year, in fact this year the issue that [indiscernible] we have some movement is CapEx, since we have really finished start of all plans, we are in the process of finalizing the one that we have in Argentina and we have indicated a new one like the power plant in Mexico. We are expecting to reduce this level of CapEx. If you ask us at the moment and we have been going through a number of CapEx for the year 2014 should be between $650 million and $700 million. So in fact an important reduction from the level of CapEx of last year. We have already announced as we mentioned the power plant that we will be building in Mexico, we are finalizing with the plant in Argentina, we are having some other small projects, so this is the expectation that we have for the moment we have on the other hand increased the level of dividend of the proposal to increase the level of dividend this year from $130 million where we paid last year to a proposal of $150 coming into fully attributed during this year. So we – at the moment we don’t have any additional plan to present to the market, so we by the change that we are expecting to see this year is a reduction in CapEx and if there is any new additional CapEx or project that we could use our money probably we’ll grow what traditionally we do mostly to reduce the level of debt and of course next year at the shareholders meeting we’ll have the possibility to decide an increase in dividend if we wish to do so, but up to now these are things that we are planning for the 2014
Ivano Westin – Credit Suisse SA CTVM: That’s clear Pablo. Thank you so much.
Pablo Brizzio: Very welcome.
Operator: Thank you. Our next question comes from Renato Antunes of Brasil Plural. Your line is now opened.
Renato Antunes – Brasil Plural: Hey good morning everyone thanks for taking my question. The fist one is about your distribution agreements with Usiminas. Do you guys think that volumes could accelerate going forward I mean mainly because of higher express coming out all over the Usiminas from Brazil, do you think that’s a possibility looking-forward in 2014? That’s the first question and the second question coming back to the Argentinian currency devaluation thing, you mentioned that we can see a little demand as you move to 2014. Now in the first quarter, but maybe later in the year, do you guys see any possibility of increasing export out of [indiscernible] is that something you guys consider? Thanks.
Pablo Brizzio: Okay. Renato let me first take the region Argentina, that the word what we said is that, at the moment we are not see any reduction in volume achieved to the local market during the third quarter. The quarter exceeds the possibility I mean the big and the numbers that are coming out from different researches due good growth in Brazil and Argentina there is possibility of having some reduction in demand in moving forward As usual our traditionally Siderar did in the past is utilize the network that we have so far exporting product mainly to first of all neighboring countries as we bought to other market. So Siderar a subsidy succeed in Argentina most probably this intention will continue to roll out if nearly and the most important issue for us is to keep similar level for increasing the level of production. This is the most important issue that we want to maintain and we believe that we are able to there is a reaction I wonder you are mentioning in Argentina that that we will make us not to ship the same level of volumes that we have this year. So, we always work to have in the world institutional networking in our region and if needed we will utilize that. As you know and you mentioned in the history of Siderar happen wide. So, there is nothing unusual for a company. In respect to the distribution agreement during this year 2013 Usiminas reviews the level of treatment for the upper market as I mentioned one of the roles of the targets of Usiminas of the Ternium steel company is to increase utilization level of facilities and in that sense increasing the level of treatment available for the market. So, exceed the facility of Usiminas increasing that. For us is difficult to tell at the moment, but how will be a situation of our steel in the coming quarter and definitely excess capacity for export in coming 2015.
Renato Antunes – Brasil Plural: Thank you very much. And just to confirm the number you mentioned on the previous question about CapEx, you mentioned $350 to $400.
Pablo Brizzio: What I mentioned is between $650 million to $700 million of total capital for the year.
Renato Antunes – Brasil Plural: Okay, thanks.
Pablo Brizzio: Thanks for your clarification.
Operator: Thank you. Our next question comes from Marcos Assumpção of Itaú BBA. Your line is now open.
Marcos Assumpção – Itaú BBA: Hi, this is Marcos Assumpção. First question is regarding just again, on Argentina at the current scenario of $780 million for the Argentinian peso. how do you compare the profitability of exports and sales in the domestic markets?
Pablo Brizzio: Hi, Marcos. lately, we have been – should be the low volumes to the Venezuela market. and being that the case, we are trying to export to first of all to markets that are closer to Argentina, the profitability levels that we have in the fourth quarter prior to the evaluation, you need to take into consideration, first that the evaluation in Argentina during 2013 was also around 3%. What we have and generally of course, is, an important move and it is around 20% from the beginning of the year up to now. So as we think that guidance, it has been evaluated well for a while, probably the pace of the evaluation is working. So we are expecting to sustain this level of profitability enter into the first quarter. As I mentioned, there are different situations that are affecting that, not only pricing, but also costs, but in those times, we will have some reaction and of course volumes, as we mentioned, there is – there will the reaction during the first quarter due to the seasonal effect, which is summertime in the country and is really affecting the level of volumes.
Marcos Assumpção – Itaú BBA: Okay. My second question is regarding growth. now that you are with a very comfortable leverage, do you – are you analyzing already the increase in that capacity in Mexico?
Pablo Brizzio: We are always looking at different ways of seeing this company grow. and as you know, we believe that Ternium has still opportunities to keep growing that why we invested in Mexico. the pressure that you mentioned is one – that as you know we have in the light in the last five year or more than that. In fact we’ve been increasing the correction of – we have at the moment increasing the production of slabs in Argentina, something that the company considered as an issue that needs to look at it. Differently from saying that we are at the moment in a position to decide or to take new project in Mexico as we mentioned, we are not at this moment in the process of deciding on that.
Marcos Assumpção – Itaú BBA: Okay. And would you consider like increasing the stake in Usiminas as well, buy more shares to reduce the average that APD on the acquisition?
Pablo Brizzio: Well, we have been receiving this question from the moment that we acquired the shares from [indiscernible]. And conceptually from a financial standpoint, this is very fine way of investment – of investing the resources of the company, so financial theoretical standpoint, we would not rollout growing through this type of transactions. But we are not seeing at the moment clear opportunities to do that. It’s very complex, the situation of capital structure of the company and the company growing through some things, we know that we are having in relationship to our regional transaction. So this is a situation that in many case we analyze very carefully. So from a theoretical point of view it’s a transaction as any other that a company could consider from a practical standpoint. At the moment, there are some restrictions to do that or the difficulties to do it, but you never know what will happen in the future.
Marcos Assumpção – Itaú BBA: Okay. Pablo last question here on the Colombia market what is your expectation for demand growth in 2014 and 2015?
Pablo Brizzio: Columbia is a market that we are expecting to see some growth in the coming years, Columbia is a market that is among the markets in the Latin American region, is expected to have a increases going forward and so we are expecting to see that, especially to 2014 as usual it’s very difficult to put in the near year, but discussing our GDP growth probably you can be safety in that you are expecting to see some positive growth especially during this year.
Marcos Assumpção – Itaú BBA: Okay. Thank you very much.
Pablo Brizzio: You’re welcome.
Operator: Thank you. Our next question comes from Carlos De Alba of Morgan Stanley. Your line is now opened.
Carlos De Alba – Morgan Stanley: Thank you, very much Pablo. Question, on next phase of CapEx when – do you typically invest in cycles and have your in business plan for your few years out. When – where are you in these planning process for the next CapEx cycle, is this – should we news in the next few months or do you think it will take a little bit longer to the define this next CapEx cycle. And second question is have you seen any – are you facing any restriction to get money out of Argentina in terms of payment – dividend payments are capital expenditures in other countries that are not Argentina that you maybe able to fund from Argentina?
Pablo Brizzio: Hi Carlos, in relation to CapEx first of all, to answer directly your question, we are exceeding final stage of taking advantage of our current of CapEx cycle as you told. We have not act finished our investment in Argentina and we are going through a ramp-up period in Mexico, so if your question is – we should take a decision or a decision we take in the next couple of months, no we are not at the moment in this process. We are at the very end of process which is very remanding, contraction putting facilities into production two very important part of CapEx cycle. So we are in the very end of putting this facilities in production and getting these facilities up on running. So in the ready to run we are not expecting to announce any new CapEx cycle or new CapEx cycle to remark. With respect to restrictions, we are not have restriction in when we need to import into Argentina raw material, we have been paying dividend in – you see that in fact 2013 we paid $170 million or a dividend of $170 million out of Argentina and so this is the situation that we are having at the moment.
Carlos De Alba – Morgan Stanley: Right, thank you very much.
Pablo Brizzio: You welcome.
Operator: Thank you. Our next question comes from Walter Chiarveso of Santander. Your line is now opened.
Walter Chiarveso – Santander Investment: Yes, hi good morning Pablo, thank you for taking the question, my connect was cut off for a while, so I beg your pardon if you already answered this question. The first one is can we go backs to the volume discussion, do have – can you give some color on the other market segments, demand has been [indiscernible] and going back to the Mexican volume demand fixation policy [ph] here you mentioned that volume can increase, iron steel 500,000 tons on the new facility. Can you regulate that figure? That is my focusing on margins The second one is on the impact of the natural gas price has been raising recently in U.S. we have expectation there if you have any sensitivity on the price increase in your BBA I think we got some number a few years ago. On the final one we got in the investment in the electricity plant, do you have any idea at this moment one of these is going to be financed fully by Ternium the company that you mentioned or it’s on pursuit final schedule or something else off balance sheet. Those are my two questions?
Pablo Brizzio: Okay. Walter how are you? Let’s start by the issue on volumes. In the north market, mainly the other market as we call them. What we saw in the first quarter was the reaction in volumes what we consider this seasonal effect and we are expecting to recover part of its volume been and enter into this year. What we mentioned and we mentioned a number of 500,000 tons of new volumes moving to our North American market. Yes, that’s the number that we mentioned during one of previous question, which was the number that we are expecting to have after having commissioning this two new facilities. So in total net 1 million tons. [indiscernible]. This is a very significant target that we have, and we need to work very hard in order to achieve this level. In respect to natural gas, yes, we have seen an increase in the price of natural gas during the end of the fourth quarter and entering in to the third quarter this year. The main reason for that volume and the most important one is they had winter that happens in the U.S. at least these are being driving – doing prices of natural gas up.
Walter Chiarveso – Santander Investment: So, probably we could expect some small reaction of this level of pricing in the coming quarter. It indicates price of natural gas continues to be relatively lower against other raw material that the industry utilizes to produce steel?
Pablo Brizzio: Yes we have mentioned and you right you have a very good memory, we have mentioned I believe two or three years ago, the issue of how much is the impact of an increase of $1 per million BTU on the EBITDA and this is between $50 million and I do not recall, but between $50 million and $70 million and annual impact of that. So this is the number that we mentioned. With respect to the trend we haven’t yet initiated, the final part of the financing program for a company the expectation is to finance the company itself not to finance through our different contribution. So we are expecting to finance directly these new companies which is called [indiscernible] that will be the company that will produce and sell energy.
Walter Chiarveso – Santander Investment: Okay, that thank you for very much for answer the question Pablo.
Pablo Brizzio: No problem thanks.
Operator: Thank you, our next question comes from Alex Hacking of Citi. Your line is now opened.
Alexander Hacking – Citi: Thank you, Pablo and Sebastián. My questions were already answered.
Pablo Brizzio: Okay.
Alexander Hacking – Citi: Congratulations on yet another good year as I’m saying, thanks.
Sebastián Marti : Thanks Alex.
Operator: Thank you, our next question comes from Thiago Lofiego of Merrill. Your line is now opened.
Thiago Lofiego – Merrill Lynch: Hi, its [Indiscernible] here thank you. have a two questions, well just one back to be Argentina situation, it wasn’t very clearly to me Pablo if you had mentioned about prices in the domestic market. So do you think you are going to be able to that fully pass through in terms of deprecation to domestic prices or maybe only partially. So if you could maybe clear that for us, and the second question Iron ore what is the strategy going forward in terms growth I mean you are already operating at full capacity in our – on operations. Do you think you could eventually expand your outlooks lets say the other. Thank you.
Pablo Brizzio: Okay bravo, regarding the issue of iron ore, we have been working basically full capacity for the last two or three or four year and I remember in the past we have a project to expand we decided not move ahead so at the moment we are not planning to increase our plans to increase mining – our mining operation in Mexico, so we are planning to keep working as the same as this level of production. Though we work to Argentina as we mentioned is that we have been able to spend level of pricing Argentina with this line with international pricing, which means that we’re able to transfer to the market the impacts of the evaluation on our cost structure. That terms also we mentioned that due to the fat that we have a portion of our cost specially [indiscernible] this is reaction on cost. So, that why we’re saying that we’re at the same level of profitability at least in the coming quarter.
Thiago Lofiego – Merrill Lynch: Okay. Thank you.
Pablo Brizzio: You’re welcome.
Operator:
Humberto Meireles – Goldman Sachs: Hi, guys. It’s Marcelo Aguiar here. In fact thank you for the question. The two clarification here Pablo can you remind us I mean up to now what is the plan in terms of third-party for changing coil [indiscernible] so this way we can really get a sense of what is the incremental finish of product sales that we’re going to have once you guys on a full capacity that will be the first question. And the second question is if you also can elaborate more on the of course impact of this power plant when it’s going to be fully operating. I mean how much lower energy cost can you have in the Mexican operation and what percentage of all assumption of energy consumption of [indiscernible] this power plant going to supply.
Pablo Brizzio: Okay Marcelo how are you? In respect to [indiscernible] most of the supply of course will be coming from income. At the moment the planning as soon as we keep increasing of course we’ll be delight, but for now most is coming from [indiscernible]. With respect to the power plant, we’re expecting to have this plant fully operationally by the fourth quarter 2016. And these we recover and most of our needs of electricity and that we decide that’s why we enter into this [indiscernible] we recover significantly all of our needs of energy that we’re sourcing from our current provider. And we’re taking to have of course we need to wait until the moment in which this possibly started to produce, we are expecting to see a significant reduction form the level of price, from the CSP [ph] which is a currently providing in Mexico. So around lets say around 20% to 25% of more on price savings, but of course we will paying on the situation at the moment initiation of our facility.
Humberto Meireles – Goldman Sachs: Okay great thank you very much Pablo.
Pablo Brizzio: You welcome.
Operator: Thank you and at this time I’m not showing any further questions. I would like to turn the call back to management for any further remarks.
Pablo Brizzio: Okay. Well as usual thanks for your interest in Ternium and for your time today. And we look forward to keep in touch with you. So as always please contact us if you have any additional questions. Thanks and good bye.
Operator: Thank you sir. Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program and you may all disconnect. Everyone have a wonderful day.